Cecile Combeau: Good morning, everyone. We're very pleased to present you our 2024 Results. I am Cecile Combeau, Head of Investor Relations of Groupe ADP. Today with me are Philippe Pascal, Chairman and CEO; Justine Coutard, Deputy CEO; and Antoine Crombez, Deputy CFO. We will start with some prepared remarks from the Philippe, Justine and Antoine before the Q&A session. And to ensure that as many of you as possible can talk to the management, we ask you please to ask only one or two questions at a time and then queue up again if you have follow-up questions. As a reminder, certain information to be discussed during this conference is forward-looking and is subject to risks and uncertainties that could cause actual results to differ materially. And for these, I refer you to the disclaimer statement included in our press release and on Slide 48 of our presentation. And with that, let me hand it over to our Chairman and CEO, Philippe Pascal.
Philippe Pascal: Thank you. Thank you, Cecile, and good morning, ladies and gentlemen. Thank you for joining us. I am honored to stand before you today as a newly appointed Chairman and CEO of Groupe ADP. I used to comment on ADP's financial result alongside Augustin Romanet. So, first and foremost, I would like to pay tribute to his work and the head of the company. For 12 years, he has made great efforts to improve quality of service on our airports. He has turned the Groupe into an International player and positioned it as a leader and pioneers in the environmental transition of airline industry. His track record speaks for itself and the results are there for all to see. One more personal note, I would like also to thank him for his confidence and I have been proud to work alongside him on projects that have shaped the company and the industry in France and abroad. It's a privilege to succeed him as Chairman and CEO of ADP and to meet the challenges and opportunities that lie ahead. Groupe ADP has the strength and a solid team to project itself into the future. It's this team of passionate people that makes me so enthusiastic about my new role. And my side this morning and in this new adventure is Justine Coutard. Justine Coutard from her previous position as Director of Orly Airport since 2020. She also previously served as Deputy CFO from 2016 to 2017. Justine, I will let you introduce your new role.
Justine Coutard: Thank you, Philippe. Good morning. It's a pleasure to speak with you and I'm both honored and delighted that the Board of Directors appointed me as Deputy CEO of Groupe ADP. I would like first to thank the Board and Philippe for their trust, and I look very much forward to working with them and to leading a committed, agile and ambitious team together. The Board entrusted me with the authority of Executive Officer, mandataire social under French law and I will oversee with particular attention the matters of development and engineering of our platforms, Real Estate, corporate social responsibility and environmental transition of our activities worldwide, as well as relations with all stakeholders, including national and local authorities. Philippe will comment on his vision, our shared vision and ambition for Groupe ADP in a few moments after the financial results presentation and will then be happy to answer your questions during the Q&A. But before that, I'll hand back to Philippe to comment on the 2024 highlights.
Philippe Pascal: Thank you. Thank you, Justine. Slide 4. Slide 4 shows the key highlights of the year, which we will develop in the next slide. Traffic has grown in line with our assumption, with Groupe traffic exceeding 2019 levels and Paris traffic showing strong momentum in International traffic. Once again, Groupe ADP published robust financial results. We have reached or surpassed all of our 2024 targets, allowing the Board to propose a dividend of €3 per share.
Justine Coutard: Now on Slide 5, the Parisian airports handled traffic successfully during the Paris Game last summer. This was achieved by an unprecedented mobilization of our employees and the airport community, as well as operational preparedness, such as increased automation of border controls, improved queue management, early check-in at the Olympic Village and support for passengers with reduced mobility. All these initiatives are lasting and will continue to drive operational excellence and travel inclusivity.
Philippe Pascal: On hospitality on Slide 6, 2024 has been a strong Retail performance, with Extime spend per pax hitting a new record above €32. I will also highlight the stellar performance of our flagship Terminal 1 International, where overall spend is getting close to €90 per passenger. We continue to deploy the Extime model in Paris, notably with the opening of the Extime exclusive private terminal in CDG, offering the highest possible level of service, attracting and leveraging high-end passengers. In 2024, we have also acquired two companies, Paris Experience Groupe and PS, that will allow us to expand Extime abroad and increase travelers' funneling towards our offering. Continuing with our International assets, starting with TAV airport on Slide 7, the growth story continues, with double-digit traffic growth exceeding 11%. In 2024, the company commissioned a new terminal in Almaty Airport and a new Extime launch there, showcasing a growth model based on both on airport operation and on service company. TAV also continues to work on key capacity projects in Ankara and Antalya that will be delivered later in 2025 and will support continuing growth going forward. Moving to India, on Slide 8, GMR Airport is also a growth story. Traffic growth by nearly double-digit and key infrastructure were commissioned this year in Delhi and Hyderabad, increasing capacity. The key highlight this year is the successful restructuring of the holding company. We are now a direct shareholder of a listed company in India and powered towards further growth. The market value of our 45.7% stake in GMR Airport is now directly visible. Other operational highlights include GMR award to operate directly its duty-free area at Delhi Airport from July 25 and tariff increase proposed for Delhi Airport, which is now under stakeholders' consultation. These are two key levels to improve cash generation going forward.
Justine Coutard: Moving to Slide 9, I will address sustainability, which is at the core of our 2025 Pioneer Strategic roadmap. Actions contributing to the achievement of the 2025 Pioneer's objectives are continuing. On the top part of the slide, you can see, for instance, our progresses on green energy projects with geothermal in Paris and solar plants in four airports abroad. As every semester, we provide an update of our progresses on the 20 objectives of the roadmap. In addition, our annual universal registration document will contain this year our first extra financial report in compliance with the new CSRD directive. It will allow all stakeholders to monitor our actions on material, environmental, social, governance and business ethics matters, and compare it with other companies. In terms of decarbonization trajectory, I will highlight that Delhi Airport is the first of our portfolio to reach level 5 of the Airport Carbon Accreditation program, which is the highest level of accreditation. Regarding the Parisian platforms, our decarbonization trajectory was validated by the SBTi last October, and the CDP recently included ADP SA in its A list for climate matters. So we are on the right track and intend to accelerate the Groupe transformation both in Paris and Internationally, decarbonize our activities and that of the sector globally.
Philippe Pascal: So finally, on Slide 10, you can see that ADP deliver once again solid results, both revenue and EBITDA reach record level. As expected, the reported net result is down due to a negative non-cash accounting charge from the operation at GMR level. Excluding such one-off, net result is up 16% to €638 million. Antoine, the floor is yours to give more detail about financial figures.
Antoine Crombez: Thank you, Philippe, and thank you, Justine. I will now dive deeper in the 2024 financial results, starting with Slide 12. Traffic evolved in line with our growth expectations. In Paris, it is up 3.7%, reflecting expected trends, including disruptions linked to the ATC systems experimentations in Q1, and a weak start to summer with some travelers avoiding Paris due to the Olympics. These two impacted the traffic, notably the domestic one, which is in any case experiencing an underlying decline. Yet International traffic has seen the highest growth, particularly with North America, Africa and Asia. With an increased weekly flight schedule, traffic with China more than doubled in 2024, reaching around 60% of 2019 levels. Weekly flights are capped at an unchanged level and we expect traffic to stall at around 65%, 70% in 2025. At the Groupe level, we continue to see strong momentum in the airports operated by TAV and by GMR, showcasing their role of growth relays. Traffic was slightly down, however, at Amman airport in Jordan, though showing resilience despite its geopolitical context. Slide 13 with Retail. Spend per pax reached a new record of €32.1, up almost 5%. 2024 saw outstanding Olympic-related advertising and travel retail revenue, continued performance in Retail and Fashion despite contrasted trends for each brand, and some headwinds in H2 with the reopening of Terminal 2AC and a less contributive traffic mix during the Olympics. In 2025, the normalization of advertising and intensification of works in Terminal 2EK may wait on SPP growth. However, the solid trends we have recorded in 2024 give us confidence and enable us to raise our expectation. Spend per pax 2025 is now expected 4% to 6% higher than 2023. Now on Slide 14. Revenue reached an all-time high of €6.2 billion, up 12% versus last year. In Paris, Aviation segment grew 7.5%, driven by traffic and higher tariffs. Retail and Services segment is up by more than 9%, helped by record spend per pax we discussed. Real Estate saw continued solid growth, up 6%. Looking abroad, TAV Airports was the largest contributor to the Groupe's revenue growth, driven both by its airport assets and its services companies. AIG recorded stable revenue despite traffic being down in Amman. Moving to Slide 15. OpEx are up 17%, due notably to the inclusion of the new Infrastructure Tax in France for €131 million, and the increase in staff costs, notably at TAV Airports, because of the high inflation in Turkey and the rapid growth of the company, leading to recruitments. Regarding expenses linked to the Paris Games, they are as follows. €41 million spent in 2024, of which €25 million are neutralized at EBITDA level with a reversal of a provision made in 2023. €70 million as part of our partnership with the Olympic Committee, which are fully offset by equivalent revenue. The net impact of the Olympics on 2024 EBITDA is hence €16 million. All in all, we delivered €2.1 billion EBITDA, up 6% against 2023, surpassing our target. Note that the organic EBITDA growth in Paris activities was eaten up by the introduction of the new Infrastructure Tax in France, as can be seen on the bridge. Hence, EBITDA growth in 2024 is almost entirely attributed to International assets. Slide 16 speaks for itself. Let's move to Slide 17 on net result. As highlighted, net result is down in 2024, largely due to the non-cash accounting impact of the GMR merger that we announced in earlier disclosures. Other trends to highlight would be stable D&A with a large impairment reversal at AIG, offsetting all negative effects. An improved financial result due to higher FX gains, gains on cash investments, and a positive variation in FCCB valuations. And the increased income tax expense linked to the higher profit before tax as the Infrastructure Tax is not deductible. All in all, as per dividend distribution policy, the Board has proposed a dividend of €3 per share to the next AGM. Slide 18 gives a view of the net result excluding one-off the effects. On a comparable basis, excluding notably the accounting charge linked to GMR merger operation, as well as for other one-offs in 2024 and in 2023, net result would be up more than 15% in 2024 to €638 million. So this is solid organic growth here at the bottomline. Lastly, I will comment on net debt on Slide 19. You can see that leverage remains stable in 2024. Keep in mind that the reported net debt accounts for options on convertible bonds to GMR. Those derivatives' value varies with the bonds and GMR's market value and inflate the Groupe's reported net debt despite bearing no risk of cash outflows for the company. Excluding the value of these derivatives, adjusted net debt stood just above €8 billion as of 31st December. With that, let me hand it over to Philippe, who will now comment on our outlook and strategic priorities.
Philippe Pascal: Thank you. Thank you, Antoine. As you have seen, our financial performance and our solid teams put us in good position for the future. My ambition is for Groupe ADP to become a global reference in attractiveness and hospitality, as well as a model in environmental transition for the air travel industry. So we are going to accelerate in this direction. We aim to create value for all of our stakeholders. I am determined to carry out my duty with a concern for the long-term, which is the time horizon over which our activities take shape and create value. ADP is a unique model. We operate the three Paris airports, which are vital strategic infrastructure for France, and we also operate 26 airports worldwide. We are now entering a cycle that is going to be a little more Parisian than in the past. Our economic challenge, the value that needs to be created for the company is essentially Parisian over the next few years. We are now seeing our economic model requires a signature of an Economic Regulation contract. I will come back to this theme in detail in the next slide. Reinforcing our economic model requires that we accelerate the development of Extime model both in Paris and Internationally. We have laid a foundation and we are going to continue. It is the second item of my strategic focus. This is why securing our International activities is the third building blocks of the strategic refocusing and intent to deploy to reinforce our business model. Our International development has greatly intensified since 2017 with the takeover of TAV Airport and then in 2020 with the acquisition of a stake in GMR Airport. It is International strategy. It's not only about projection, our knowledge, but also about ensuring the overall economic balance of our activities. It is a combination of the two and the search for balance that we built over the long-term that explains ADP International expansion. International developments cost many money and first, then it pays off. And I also want to make this three strategic priority a mean to work towards a stronger, more agile corporate culture. This spirit will be at the heart of the management team that Justine and I will be building. Let's now take a look at what I mean when I tell you that we are entering a cycle that it's a little bit more Parisian and what I want to do with the launch of a multiyear agreement in Paris. I am now on Slide 20, 22, yes. I told you about the ambition I have for the company Groupe ADP and the role I want our company to play and the model of decarbonization for our sectors. To achieve this, we need to invest. Investing is what is going to mobilize us ADP and the whole airport community. Together with Justine, we are going to work to strengthen the links between internal and external player and involve them in a collective project. This is why I am launching without delay the preparatory works of a new Economic Regulation Agreement and I intend to submit a first proposal ready for public consultation before the end of the year. In terms of investment plan, the multiyear contract will be based on the public consultation that we have already taken place at Orly with Justine and the one that we will soon launch for CDG Airport. It will also be the instrument of broader mobilization, including the first place, our employees. Within – with this – within this framework, Groupe ADP will be able to leverage its organic growth and financial discipline to ensure the balance allocation of its capital, including an unchanged dividend payout policy presenting 60% of net income. We confirm our financial target for 2025, the outlook for 2026 as a year leading up to launch of an Economic Regulation Agreement envisaged for 2024 will be determined as part of our preparation for the public consultation. With that, let's open the line for Q&A. Thank you.
Operator: Thank you. [Operator Instructions] Thank you. We will now take our first question from Cristian Nedelcu of UBS. Your line is open. Please go ahead.
Cristian Nedelcu: Hi. Thank you very much for taking my question, and Philippe and team, congratulations for the appointment. Well deserved. The first time if I may on free cash flow 2025, if I start from your Slide 19, if I look at the organic free cash flow generation in 2024 and then take into account your EBITDA guidance, your CapEx guidance and the higher cash tax, it looks to me that the free cash flow in 2025 may be slightly negative or flat. Would you agree with this or am I missing any important cash movements for free cash flow 2025? And my last question is a bit around CapEx and free cash flow midterm. You have flagged that you're spending less CapEx in 2025 than initially thought. And you've mentioned, Philippe, in your written remarks and today on the call several times about the intention to increase investment in infrastructure. So I guess in this context, could you give us a bit of a roadmap of the CapEx trajectory over the next few years and what does it really mean for free cash flow generation midterm? Thank you.
Philippe Pascal: Thank you. Thank you very much. Perhaps for the first question, Antoine.
Antoine Crombez: Yes. Thank you, Philippe. Thank you for your question regarding the free cash flow generation in 2025. So indeed, in 2024, our free cash flow generation has been impacted by notably the tax situation with Infra Tax, but also as you have seen by the acquisitions we have made combined with, of course, normal CapEx at our platforms. In 2025, you have the CapEx guidance. On the tax front, the impact of the Infrastructure Tax will continue. You also have to have in mind, of course, the surplus of income – of corporate income tax that will also impact 2025 cash. But on the other hand, we also have generation of cash in 2025 linked to, of course, the increase in traffic and the increase of the tariff with a tariff that has been approved by the regulator from 1st of April. So, with all that in mind, free cash flow generation in 2025 should be in a similar range compared to 2024.
Philippe Pascal: Thank you, Antoine. For the CapEx level, Justine.
Justine Coutard: Yes. Regarding our midterm CapEx magnitude, it's a bit too early to discuss an investment figure as the investment plan has not yet been finalized and we are still working on it. And the global vision we presented in the consultation for Orly and soon for CDG is not a detailed investment plan and includes no precise scheduling of works. So, we will have several investment options on how to deploy this work which still have to be decided and we will have several environmental authorizations to obtain which can significantly change the schedule of work and we have to take feedbacks of the consultations both in Orly and in CDG into account in this investment plan. So, as we speak, we are not totally sure that we will do the investments envisaged under this vision and we will update the market about long-term investment plans in Paris in due course.
Philippe Pascal: Thank you. Another question, please.
Operator: Thank you. We will now move on to our next question from Eric Lemarie of CIC. Your line is open. Please go ahead.
Eric Lemarie: Yes. Good morning. Thank you for taking my question. I have two. The first one on the surplus tax to be paid in 2025, do you believe that ADP will be in a position to partially offset this surplus tax in 2026 to assure tariff increase? And the second question on the International assets you mentioned in your presentation, I would like to know of maybe what kind of return actually do you expect from this Indian and Turkish investment? And in terms of dividends, when do you expect the first dividends to be paid from these two, I would say, subsidiaries? Thank you.
Philippe Pascal: So, thank you for these two questions. The first question about the tax. So, we have a specific tax implemented last year for the Infrastructure Tax for Aviation and Airport. So, in this tax, we have a regulated part of the tax and the non-regulated part. In the regulated part, we increase two years the level of Airport charges to offset and we now finalize this compensation. It's not possible to compensate the part, the non-regulated part of the tax. So, for the last year in the Infrastructure Tax, we finalize the job to offset the tax. Just only one part of the third of the tax, it's not possible to compensate. The second question about dividend from GMR and from TAV. Clearly, we wait dividend for TAV in the next few years, perhaps quickly. And we want to accelerate in this manner also to have dividend from TAV. And from GMR, as you know, we disclose our target, that is, we can have dividend before the end of the decade and we confirm that. So, thank you for these both questions.
Eric Lemarie: Just one follow-up on the first one. Actually, I was talking about not the Infrastructure Tax but more the exceptional income tax surplus that you will pay in 2025 on your net profit before tax?
Philippe Pascal: It's not possible to compensate this income tax. It’s not in -- it's not possible to compensate. It's a one-off effect, but it's a huge effect, but with a huge impact due to the net result. But it's not possible to compensate globally. It's not in the global economic balance of the regulated scope. In fact, we have a part of income tax in the calculation of the WACC and the ROCE, but it's not a huge, without a huge effect in this manner. So, not possible to compensate.
Eric Lemarie: That's clear. Thank you very much.
Philippe Pascal: Thank you. Another question, please?
Operator: Yes. We'll now move on to our next question from Luis Prieto of Kepler Cheuvreux. Your line is open. Please go ahead.
Luis Prieto: Good morning. Luis Prieto here. Thanks a lot for taking my questions. I have two, if I may. The first one is the following. In the context of the reiteration of your International ambitions a moment ago, where are the opportunities in the current context of tight brownfield valuations due to the significant amounts of liquidity in the infrastructure world? Where do you look and how do you fight against people with a lot of liquidity and much lower IR requirements? And my second question is more of a detailed question. Regarding working capital, if my numbers are correct, I've seen a degree of erosion in the second half of the year versus an improvement in the second half of last year, of 2023, sorry. Is there anything meaningful behind that that we need to know? Thank you.
Philippe Pascal: So, thank you for your question. So, about the first question and the M&A policy, in fact, we try to implement a policy. It's a permanent policy to have a selective approach. It's in line with the last years, but we are very selective in this manner. We want to secure the contribution, so to secure the dividend of TAV and GMR. So, if the development is compatible with this policy, obviously we continue to develop the Groupe. If we have a relative and favorable impact through the International development. If we have to expect an impact in this trajectory, in fact, we will be very cautious in this manner to manage our firepower. For the second question.
Antoine Crombez: So, your second question is regarding variation in the working capital between H1 and H2, correct? And I think the variation is relatively minimal. I don't think there is anything major, but can you maybe please detail your questions? I'm not sure I have captured what you were trying to address.
Luis Prieto: No. I was wondering if there's any – because what I see here, if I look at the second half of the year, there was a deterioration of €86 million in H1 of 2024, and that deterioration increases in full year to €139 million and the trend was the opposite last year. There was a deterioration of €106 million in 2023, and then the second half of 2023, there was an improvement that led to a more contained working capital deterioration. So, there was a very sort of very different behavior in H2 of this, sorry, 2024 versus 2023. I just wanted to know if there's anything meaningful behind it or it's just negligible usual behavior.
Philippe Pascal: Thank you for this question. We will come back with details and we can have a specific call for that, just to understand clearly what we want to have as information. Thank you.
Operator: Thank you. And we will now move on to our next question from Marcin Wojtal of Bank of America. Please go ahead.
Marcin Wojtal: Thank you. Thank you so much. I've got a couple of questions on your ambition to have an Economic Regulation Agreement. What is a reasonable timeframe, would you be satisfied if you can negotiate it within one year, two years or could it take even longer? And also, with regards to the Economic Regulation Agreement, is it a negotiation mostly with the French regulator ART, or there is an important role also for the government to play in this discussion? Are there any other important stakeholders, obviously airlines, I guess, but are there any other stakeholders that we need to be aware of? Thank you.
Philippe Pascal: So, thank you for this question about the key project that is a new Economic Regulation Agreement. What we want to do is to have a formal proposal at the end of this year. And after that, we have a process -- a formal process with all the stakeholders, specifically the shareholders, specifically for stakeholders for all the airlines. But first of all, you have to give some element and a specific consultation for that. We have also to have a formal process with the French state, including the French regulator. At the end of the day, it's an agreement between the Airport, ADP and the French state. But to sign, we need a formal approval of the French regulator. So, globally, this negotiation is for one year. So, we don't expect a specific signature and the agreement before the beginning of 2027. So, globally, what we want to do is we want to have a large consultation with all the stakeholders, including the local authority, including the parliament, including the unions, and all our clients, passengers, but also airlines. And with this large consultation, we try to have a global and a common industrial project. And after we -- when we stabilize this International project and with industrial project, excuse me, we have to negotiate the economic balance. But if we have a good move in the International industrial project, we can reach and have a global agreement. Thank you.
Operator: Thank you. We’ll now take our next question from Graham Hunt of Jefferies. Please go ahead.
Graham Hunt: Yeah. Thanks very much for the questions and congratulations on the appointment. And just two for me. Firstly, can I come back to the 2025 CapEx guidance? I mean, you've consistently undershot what you've guided to on CapEx in the last two years. I'm just trying to understand this up to €1.4 billion. Is there something that's different about 2025 that means you can now step up the CapEx spend and we should see that meaningful move up or is this a conservative level that you're setting again? And then second question on just your priority to deliver contribution from the International assets. What -- could you speak to what you can tangibly do to accelerate the timelines there or is it just a case of waiting for them to pay dividends, which I can't believe is true. But just trying to understand that's a priority for you. How are you? What are the steps that you can take to realize those financial contributions from your International assets? Thank you.
Philippe Pascal: So first question about CapEx.
Antoine Crombez: Yes. So your question, if I understand correctly, is regarding how conservative our 2025 CapEx guidance is. If you look at 2024, you have to bear in mind that there is two elements to it. There is ADP in Paris on one side and there is the Groupe. We have for the – for ADP in 2024 delivered quite well our CapEx programmer. As you know, we are in a curve of increase on an annual basis of our CapEx needs with a recovery post-COVID and the launch of a new cycle of CapEx. Year-on-year, we increase the CapEx number, but we also deliver better compared to the expectation. And that's for Paris and that will also be the focus for 2025 with a strong mobilization of everyone to deliver the amount. And on the Groupe aspect, there is notably for TAV, a large part of the CapEx, which was done, which is now behind us. The key CapEx triggers, which were Almaty new terminal, as well as Antalya new terminal are now behind us. So it gives also a better confidence in our ability to deliver the CapEx amount on the International front.
Philippe Pascal: Just to summarize, before we have a guidance on average for three years. We have now a guidance for one year. And due to the performance in 2023 and 2024, we give you some clarification for 2025, but we are in our industrial strategy, no change, clearly. In terms of dividend and TAV and GMR, globally for us, we have in our business plan clearly a good contribution for TAV and GMR. It's the reason why we developed the Groupe in the International activities, just to have a strong contribution. We -- what we say is that for TAV, but also for GMR, we have to manage and to find a good balance between CapEx program development with deleveraging, and at the end of the day, dividend. So clearly our target is to continue to deliver GMR and to finalize to deliver TAV. And after that, we have some project, huge project in terms of CapEx with TAV, but we have to finalize. We deliver, we commission in infrastructure in 2024, we have to commission the infrastructure in Ankara, in Antalya in 2025. And after that, with deleveraging TAV, with the finalization of works in TAV, we can have dividend, included part of International development and acquisition, if it's manageable. For GMR, we want to continue to deliver and to deliver the infrastructure in Delhi and Hyderabad. We have a strong growth in terms of traffic in Delhi, but we need some CapEx and to continue to accompany the strategy of Air India, the strategy of Indigo, that is very, very important for the Groupe and for GMR, and we have also to continue to deleverage. That is a key element for us, for the ADP shareholder in GMR. But also with all this balance, it's possible to have dividend before the end of the decade and continue, if it's possible, the development through GMR. So, and for ADP and other companies, clearly in my three pillars, we have a specific pillar in terms of Extime, Extime strategy, with the expansion in Paris, but also in the International. But it's not a huge amount in terms of investment, but it's a very important investment because very relative. So if you have a very relative investment in International development through Extime, and if we can continue to develop the Groupe through TAV and GMR, we can continue the story. But at the same moment, we can assume the robustness of the financial trajectory of the Groupe. That is why I say when I speak about the International development. So thank you for that. We have another question.
Operator: Yes, we do. We will now move on to our next question from Dario Maglione of BNP Paribas. Please go ahead.
Dario Maglione: Hello. Good morning. Philippe, one question for you. I would assume that you will continue on the path of your predecessor in terms of overall strategy for the business. But compared to Mr. Romanet, where do you think you will be most different, if any? The second question on the spend per passenger, could you give us a bit more detail for the works in 2025 to assess the impact and then essentially look ahead to 2026 at a normalized level for spend per passenger? Thank you.
Philippe Pascal: So thank you for your two questions. The first question about the strategy of Augustin Romanet and the continuity of this strategy. But it's key to understand the fact that we have some cycle in our airport industry. I am very, very comfortable with the strategy of Augustin Romanet. It's a great strategy. We continue to improve the quality of service in Paris. We develop the Groupe for International activities that is vital for the global balance of the Groupe. And we create and develop the external strategy for the Retail. We have also a pillar and very comfortable pillar in terms of Real Estate, but also in terms of IT. So we are very comfortable with this strategy. But remember that before COVID, we have a strong growth in terms of aeronautical activities. We've -- specifically in Paris, we've an increase in terms of traffic for around 2.5% each year. So a global and a growth strategy. After we have the strong impact due to COVID and the recovery of the COVID. This recovery is finalized probably last year, not in 2025, but in 2026. After that, we have to find a new model. It's not a new strategy. We have to adapt our strategy to this new context. That is a decarbonation, that is the capacity to develop Paris due to all the demand of our main clients, specifically Air France. And we have also to accelerate in terms of maintenance. We -- in our CapEx plan, we have a huge amount in terms of maintenance, because we have a huge impact in Paris only, but also in Paris CDG, with the fact that we have old terminals and we have to refurbish. So globally, my job is not to change the strategy. I am very comfortable with the strategy because before with Augustin Romanet, I was the CFO and the Head of Strategy. So no issue with that, but an adaptation for the new cycle and the new context. Thank you for the second question.
Antoine Crombez: On spend per pax, so the headwinds of 2025, you have three main headwinds to keep in mind. The first one is Terminal 2AC, which reopened in the second half of 2024. And so that will have a full year impact in 2025 and you will see that in the first semester. Second main headwind, it's the works in Terminal 2EK. These works have started already in 2024, but they will intensify now in 2025. We are now at the core of these works. These works -- with these works, we are not fully closing the shops, but we are relocating some of them to smaller areas, so that has a dilutive impact and we are now at the core of these works. And the third headwind is the impact of the Olympics, which was positive on certain segments in 2024, notably on advertising, also in essential travel retail. And so that is, of course, something that you will not see again in 2025. But all these headwinds, we are very confident that we'll be able to offset it. We see continued growth in in Luxury and Retail, and of course, contrasting depending on the brands, but overall, very positive. And hence, we are quite confident with the updated guidance that we have given to you, which is a 4% to 6% growth of SPP compared to 2023.
Philippe Pascal: Thank you, Antoine. Do we have another question, please?
Operator: We'll now take our next question from Nicolas Mora of Morgan Stanley. Please go ahead.
Nicolas Mora: Yes. Hi, Philippe and team. Just coming back on the CapEx, but trying to look at the big picture, I mean, the CapEx needs to come with decent returns. So you talk a lot about more CapEx, but you're not talking a lot about what's coming on the other side. Have you had any in from the regulator that you're finally going to be paid fairly for the CapEx? I mean, we've seen again in 2024, you had 4% return on the regulated framework. I mean, your WACC is most likely above 5%. So any progress there? And let's be honest, if you put your CapEx into perspective, as was said before, you've been undershooting quite a lot for the past few years. CapEx is always delayed. We're struggling a little bit to buy into the very, very steep CapEx rise that you're promising us. Can you shed a bit of light on where you need to invest, considering your maintenance level and your maintenance spending is already 2 times to 3 times higher relative versus guys like Frankfurt or 6 times to 8 times higher than IANA [ph]? So we -- can you shed a bit of light on where you need to put all that CapEx into the infrastructure? Thank you.
Philippe Pascal: So thank you very much for your question. So, first of all, in fact, if we have to accelerate for a new industrial plan, we probably need some more CapEx. That is key for us. It's to have a good remuneration through this CapEx. It's a huge part. It's a regulated CapEx. So we have to obtain a good economic regulation agreement. In this good regulation agreement, mechanically, we have to increase the aeronautical fees mechanically. The question is the level of this increase and the capacity to reach and to have a very good remuneration through the regulated work. That is key.
Justine Coutard: Yes. Regarding the composition of this amount of CapEx, in the upcoming years, we are facing a lot of mandatory CapEx, maintenance and heavy maintenance, as well as regulatory CapEx, such as security or safety and other usual investments. So the aging of our platforms is the main reason why we have to invest more in the upcoming years. And for example, Terminal 2F, which is part of the Air France hub was commissioned in 1998. And so it will be subject to major maintenance work by 2028. And we are seeing an overall average of €600 million per year for mandatory CapEx, but with higher numbers in 2026, 2027, 2028, due to this aging effect I mentioned. And this aging effect is both affecting CDG and Orly. So we are facing a huge need of CapEx for the upcoming years.
Philippe Pascal: Thank you, Nicolas.
Nicolas Mora: If I – yeah. if I may come back to this, so there's €600 million mandatory CapEx, but your bill, I mean, your bill at, so ADP SA is what, going to be a €1 billion next year. You're not really doing any expansion work. That should be enough.
Philippe Pascal: So for the moment, we need some time to give you some color about the industrial plan. It's a global balance we can manage and try to have a good scheme in terms of CapEx increase. We have also to assume the capacity to realize the investment. That is very important to have in mind. It's a fact that we stopped the construction of the new Terminal 4. And for that, we want to develop our platform in another manner. And for that, we have a specific strategy, what we have to disclose in details and to have a huge consultation with all our stakeholders. The first strategy is to try to optimize the current infrastructure to welcome more passengers without a huge level of CapEx. Just adaptation, but not a good level of CapEx. The second element after that, after the optimization, it's to try to just expand the current terminal with a specific building that we can have, for example, between the railway station and the terminal. For the intermodality, we can increase the number of passengers with high quality in terms of service and a good contribution for the passenger through our Retail shops. For that, we need some CapEx, but it's not a huge change. The third step, it's more important because we have to develop a new infrastructure. What we will try to do and we have to clarify this strategy before to give you some figures, it's to have new satellites, just airside zone, new satellites to -- in CDG to expand the current building in Orly to have more, to increase the contact rate, but all for quality of service, but also to welcome International traffic that is a more dynamic traffic. With this new satellite, it's difficult to operate just a new satellite. So we have to try to have a global vision of the airport. And for that, we have to develop the people mover between all the satellite. The satellite, it's manageable. We can build for 7 million or 10 million passenger capacity without a huge, huge amount. But when you try to develop the people mover, we need some huge CapEx. It's highway with railway station also. So for that, we have to manage the time that we have to develop as a step to develop this new people mover. And so give you some time and we come back with a global vision through the consultation of CDG, but without figures, as Justine said. And at the end of the day, the global vision of our new proposal for the Economic Regulation Agreement. Thank you, Nicolas.
Operator: Thank you. And we'll now move on to our next question from Augustin Cendre of Stifel. Please go ahead.
Augustin Cendre: Yes. Good morning and thank you for taking my questions. I've got two, if I may. The first one is on your traffic guidance for Paris in 2025. You guide for 2.5% to 4% increase, which is unchanged versus the previous guidance. But I was just looking at the ATC system implementation impact of 1 million in 2024. And when we adjust for it, it looks like you expect a growth of 1.5% to 3% in 2025, which to me looks like a return to normal and would, in my view, maybe not account for any rebound for Asia-Pacific. So my question is, are you assuming a return to normal of traffic growth? And if not, how do you see this being broken down, sorry, by geography? Do you assume any further improvements from Asia-Pacific, any further recovery also from Latin and Middle East or so how do you see it balanced by region? And my second question is on the evolution of your operational expenses. Could you give us a scale of your increase in wages, external contracts, and specifically energy for 2025? Thank you.
Philippe Pascal: Thank you. Antoine for the first question.
Antoine Crombez: So regarding the first question on our traffic guidance, we are in a nutshell still very confident with the guidance that we provided. On the impact of 4-flight that you mentioned, you have to keep in mind that there is still an impact also in 2025 in January figures that we have published recently. And so if we neutralize actually both the impact of 2024 4-flight and 2025 implementation of 4-flight, the underlying growth of traffic is around 3%. So that gives you a range which is indeed in line with our guidance. And so just to give you some color, we think that it will continue to develop in a similar manner over the next months. In terms of geographies, that's the second part of your first question. It's difficult to, call it, a return to normal because the reality is that the traffic mix has changed completely compared to a pre-COVID situation. And so there will not be any return to normal, meaning a return to 2019 situation when it comes to domestic traffic, which is structurally declining. On the other hand, we do believe that the International traffic evolution, very positive that we have seen in the last few years, will continue. And we see North America, Africa, and of course, Asia also increasing in 2025 with the specific aspect of China that we have mentioned during the presentation because of the caps in terms of number of flight schedule. We do not expect China to – China traffic level to grow in 2025, but we are still hopeful that at some point, these caps will be raised and that traffic will increase maybe in 2026, 2027. Regarding the second question on staff cost and energy cost, I continue.
Philippe Pascal: Yes.
Antoine Crombez: So when it comes to overall OpEx, keep in mind that there are two aspects to it, ADP and International aspects. So I guess your question was on ADP side. So on ADP SA Paris platform, the staff cost has increased in 2024 by €14 million with a mix of new recruitments made, around 200 FTEs, as well as the impact of the wages increase at the beginning of the year. In 2025, you will see also both effects with recruitments continuing because we are in this new phase that Philippe and Justine have mentioned. We do need to recruit still some people in certain segments of our activities, so these recruitments will continue. And we have also announced very recently an agreement with the unions regarding wage increase, so that will also wait on the staff cost in 2025. Regarding energy, we have secured almost entirely our energy for 2025, both through the national scheme of ARENH and also by hedging with suppliers for the rest of our energy needs. And so that we have secured with a lesser cost than 2024 and so we should see a slight decrease of our energy cost in 2025 compared to 2024.
Philippe Pascal: Thank you. Thank you, Antoine. Another question?
Justine Coutard: Last, yeah.
Operator: We'll now take our last question from Jose Manuel Arroyas of Santander. Please go ahead. Jose, please check your audio if it's on mute, please.
Jose Manuel Arroyas: Yes. Good morning. Congratulations, Philippe and Justine, on the appointment. I wanted to ask you three questions about the plans to expand the International footprint. The first question is, are you talking about investments directly by ADP or will the investments be channeled through TAV and/or GMR? And the second unrelated question, I wanted to ask you if you could confirm ADP's interest in the Egyptian privatizations, and if that is the case, why would ADP invest directly in Egypt and not TAV? And lastly, I wanted to ask you if you are looking at listed companies or non-listed companies. That would be my three questions. Thank you.
Philippe Pascal: So thank you for your question. So our first priority is to invest through TAV and GMR, not directly through TAV, except for Extime strategy. That is very, very important for us to develop around the world, but also in Paris. That is the first point. The second point, in fact, if you have a very good opportunity or strategic opportunity that we can finalize globally our footprint through ADP, we study this element and we can have, if it's not without a strong impact in our financial strategy, if it's not an issue. That is globally our plan. For a specific question about further development, we don't for the moment have to disclose anything and to have a specific position for any specific project. Thank you.
Justine Coutard: All right. I think it will be now time to close this presentation if we have no more questions. So thank you, everybody, to have logged on to our presentation, to our conference. So the next quarterly publication will be on the 24th of April, and by then, we will be looking forward to meet you. We will attend some conferences and do some roadshows, and of course, we are with Eliott at your disposal to answer your question if you have any. So feel free to reach out. Thank you very much, everybody, and enjoy the rest of your day. Thank you. Bye.
Philippe Pascal: Thank you. Thank you. Bye-bye.
Justine Coutard: Thank you.